Operator: Good morning. My name is Lara, and I'll be your conference operator today. At this time, I would like to welcome everyone to the Roots Third Quarter Earnings Conference Call for Fiscal 2023. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] On the call today, we have Meghan Roach, President and Chief Executive Officer; and Leon Wu, Chief Financial Officer. Before the conference call begins, the company would like to remind listeners that the call, including the Q&A portion, may include forward-looking statements of its current and future plans, expectations and intentions, results, level of activities, performance, goals or achievements or any other future events or developments. This information is based on management's reasonable assumptions and beliefs in light of inflation currently available to Roots, and listeners are cautioned not to place undue reliance on such information. Each forward-looking statement is subject to risks and uncertainties that could cause actual results to differ materially from those projected. The company refers listeners to its third quarter management's discussion and analysis dated December 5, 2023, and/or its annual information form for a summary of the significant assumptions underlying forward-looking statements and certain risks and factors that could affect the company's future performance and ability to deliver on these statements. Roots undertakes no obligation to update or revise any forward-looking statements made on this call. The third quarter earnings release, the related financial statements and the management's discussion and analysis are available on SEDAR as well as on the Roots Investor Relations website at www.investor.roots.com. A supplementary presentation for the Q3 2023 conference call is also available on the Roots Investor Relations site. Finally, please note that all figures discussed on this conference call are in Canadian dollars unless otherwise stated. Thank you. You may begin your conference.
Meghan Roach: Thank you, operator. Good morning, everyone, and thank you for joining our Q3 2023 earnings call. On the call today, I will briefly review our financial results, which Leon Wu will cover in more detail, then discuss our operational highlights before closing with an update on our early Black Friday results in considerations for the remainder of Q4 2023. In the third quarter, we generated sales of $63.5 million, a decrease of 9% year-over-year with direct-to-consumer sales down 8.2%. However, this top line sales reduction masks the underlying trends in our DTC business. Our full price DTC sales grew 3% in Q3 2023 with the overall decline arising from lower off-price sales. The positive momentum in our full price offering reflects our continued efforts to strengthen our product portfolio, which has been resonating with customers and the positive buzz around Roots with our enhanced focus on brand engagement in the third quarter. Our lower discounted sales reflects our continued promotional discipline and the challenging economic environment, which has led consumers to become more price sensitive. As a company, we have chosen to be less promotional over the last three years, which has positively impacted our gross margin trends in the medium-term. However, we continue to participate in industry-wide off-price periods like Black Friday and Boxing Week. From an operational perspective, during the third quarter, we enhanced our marketing efforts, commencing with the launch of our 50th anniversary and continuing into the fourth quarter with our holiday campaign. We have been pleased with the new customer acquisition resulting from these activities thus far in 2023 and the positive performance of several collections that launched with our anniversary. In mid-November, we welcomed Leslie Golts to Roots as Chief Marketing Officer. Leslie is a talented leader, who will be essential in advancing the company's marketing initiatives and reinforcing Roots' market positioning. From a product perspective, Activewear continues to be a success story, growing over 50% again in the quarter. We see Activewear as an important category for our future growth. In September, we launched our Barbie collaboration, which showcased a broad collection of items ranging from t-shirts and fleece to leather safety (ph) jackets. The collection also included Roots Barbie Doll outfitted in our iconic salt and pepper sweats, [indiscernible] varsity Jacket, cabin socks, and [indiscernible]. The collaboration introduced many new customers to the brand generated substantial media attention and created a highly positive customer response. There's many items selling out in only a few days. In November, our first Asian focused collaboration drop with CLOT. Celebrating its 20th anniversary, CLOT is a streetwear brand founded by Edison Chen, who was born in Vancouver. The collection is being sold by Roots globally as well as with the CLOT online team in China and in its two stores located in China and Taiwan. The collection with CLOT asides will be glad (ph) and is a literal interpretation of the concept that the outdoors is available to everyone, whether it's the scenic landscape of Canada or the bustling streets of Hong Kong. We continue to see collaborations as an opportunity to introduce new customers to the brand, while generating brand excitement and sales. We also continue to see meaningful progress in our initiatives surrounding customer insights, data analytics and omnichannel growth. Notable highlights include: enabling our Canadian stores to ship directly to U.S. customers, which increased product availability for that market and drove double-digit growth in U.S. online sales in the quarter; launching enhanced endless aisle capabilities in-store through partnerships with NewStore, which currently enables our store fulfillment of online orders. And in addition, we also improved customer data insights through back-end system functionality that improves customer association for omnichannel transactions. Before turning the call over to Leon, I would like to briefly touch on our Black Friday performance. In light of the evolving Canadian consumer trends and the trend of launching Black Friday promotions early in recent years, we strategically advanced our event by nearly a week and provide a compelling offering. This adjustment was well received as evidenced by an improvement in our sales trend year-over-year in comparison to the third quarter. Despite these encouraging results, we remain prudently cautious about the remainder of the fourth quarter considering the ongoing economic challenges faced by many Canadian consumers. I will now pass the call to Leon, who will review our financial results in more detail.
Leon Wu: Thanks, Meghan, and good morning, everyone. Entering this year, we look to right-size our inventory, strengthen our balance sheet and responsibly invest in key essential areas of our business to drive long-term profitable growth. In addition to sharing our quarterly results, I will highlight the progress we have made against these objectives and how it will set us up for long-term profitable growth. Starting with our Q3 2023 results, total sales were $63.5 million, a decrease of 9%. DTC sales were $52.3 million, down 8.2% compared to $58.9 million last year. The decline in sales was entirely driven by lower off-price sales, while full price sales increased 3% year-over-year. As Meghan noted, the increase in full price sales reflects our strengthened product portfolio resonating with customers, highlighted by the ongoing performance in our active collection, which continues to drive over 50% year-over-year growth and our collaboration with Barbie. The decline in off-price sales reflects our promotional discipline during the quarter and the tightening of consumer discretionary spending in the current environment, which was much more pronounced in stores that historically have had a higher mix of off-price sales. Partners and Other sales were $11.3 million, down 12.3% compared to $12.9 million last year. The decline in sales was driven by a combination of timing shifts on certain wholesale orders into Q4 and orders that did not repeat from last year. On a year-to-date basis, our Partners and Other sales remain 6.3% above last year. Total gross profit was $37.1 million in Q3 2023, down 5.9% compared to $39.4 million last year. Total gross profit margin was 58.4%, up 190 basis points compared to total gross profit margin of 56.5% last year. The increase in the total gross profit margin was driven by a larger mix of higher margin DTC sales this year and improvements in gross margins within both operating segments. DTC gross margin was 62.4% in the quarter, up 170 basis points relative to Q3 2022 of 60.7%. The increase to DTC gross profit margin was driven by lower freight costs, including 230 basis points of improved margin comping against airfreight costs last year and an increased mix of full price sales, partially offset by an unfavorable foreign exchange impact on U.S. dollar purchases and higher product costs from the transition to sustainable materials. As we transition to sustainable materials began in Q3 2022, the year-over-year margin declines from the higher product costs are expected to moderate by the end of the fiscal year. Furthermore, we anticipate further year-over-year product margin upside starting early 2024, resulting from the investments made to advance our sourcing function. SG&A expenses were $33.8 million in both Q3 2023 and Q3 2022. Year-over-year SG&A expense savings were realized through reduced fulfillment shipping rates and lower variable transaction costs. This was offset by higher personnel costs and increased marketing costs surrounding the celebration of our 50th anniversary. As a reminder, the minimum wage in Ontario, which represents our largest concentration of labor, increased on October 1. We expect our SG&A base will increase by approximately $250,000 in the fourth quarter of 2023 and $700,000 on a full year basis as a result of this increase. Net income totaled $519,000 or $0.01 per share in Q3 2023 as compared to net income of $2.2 million or $0.05 per share last year. Adjusted EBITDA was $5.5 million in Q3 2023 compared to $7.3 million for the same period last year. Now turning to our balance sheet. Our inventory position was $61.4 million, a decrease of 16% or $11.5 million year-over-year and represents the healthiest third quarter level over the last five years. The inventory decrease was driven by a $4 million decline in on-hand inventory and $7.5 million of lower in-transit inventory, as we strategically manage our buys to leverage existing core and pack-and-hold collections. We are pleased with the reductions to inventory achieved while maintaining our discipline on discounting. The optimization of our inventory balances will support greater flexibility in our open to buy and discounting strategies for the following year and to maintain the strength of our annual free cash flows. Our net debt was $32.9 million, down 10% compared to $58.7 million a year ago. We also had total liquidity of $58.1 million at quarter end, including $53.5 million available borrowing capacity under our revolving credit facility. Under our NCIB program, we repurchased 103,000 shares for a total consideration of $305,000 in Q3 2023. In closing, despite the short-term macroeconomic headwinds faced, the underlying fundamentals of the business remain strong and we believe in the value of our brand's distinctive position. The strengthening of our balance sheet and net debt position through a consistent annual free cash flow generation will continue to support our ongoing operations and long-term investments. This concludes our prepared remarks for Q3 2023. With that, operator, please open the line for questions
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] We have our first question coming from the line of Brian Morrison from TD Securities. Please go ahead.
Brian Morrison: Thank you. Good morning.
Meghan Roach: Good morning, Brian.
Brian Morrison: Hi. Hey, Meghan. I'm a little surprised to see the strength of the full price sell-through in Q3. I think that's a real positive here. And then I heard your comments on Black Friday and cautious outlook. What are you seeing from the -- or expect from the consumer for the holidays? Is there a requirement of earlier promo activity to pull forward sales and compete for share of wallet or do you expect the later holiday season with the tough macro backdrop and extra shopping weekend?
Meghan Roach: I think probably a little bit of both, Brian. I think what we're seeing is generally that the discounts, obviously, are driving consumer purchasing behavior. There is a longer time now between Black Friday and the holiday period. So I do think we're expecting people to pushed out their sales a little bit more and given that they have more time to purchase. And obviously, the e-commerce shipping deadlines are obviously a bit later this year than they have been in previous years. So I think our cautious outlook relates to both the economic backdrop as well as the longer period of time between Black Friday and the Christmas holiday period. And so, I do think that with the consumer being more cautious out there, I do anticipate also that people are going to continue to look for value and for deals. And so that a lot of what we think is probably going to be driving the fourth quarter.
Brian Morrison: Okay. And I guess on that note, what are you seeing from the competition? I know Leslie (ph) had a material blowout sale in late October. Do you expect more one-offs or just intensity across the board?
Meghan Roach: I think it's really dependent on the retailer. I mean, I know that there are some retailers who have a lot of excess inventory still and there's other [indiscernible] healthier inventory position. So I think a lot of people are taking stock post Black Friday and looking at what their inventory position looks like at that point, how the consumer is reacting to full price and discounted sales and then taking some decisions. I think you're going to see a lot of retailers this quarter making decisions in the quarter based on how the consumers were acting to various things. So difficult to predict how other people act. But I do think that a lot of retailers are looking at their strategies and thinking about how they need to pivot depending on how the consumer reacted over the last couple of weeks.
Brian Morrison: Okay. I guess on your inventory, it sounds like people really just want to exit the year in general with a clean inventory. I guess you're in a pretty good position. I mean with just core merchandise. Do you feel you can run even leaner with easing pressures in the supply chain or do you think that would run the risk of outages?
Leon Wu: Yeah, Brian. That's a great question. We continue to look at where our inventory can be and how we can become more efficient. I think this is really reflective of one of the investments we've been making in data analytics and the unlock there of insights and the capabilities for us to analyze and monitor their inventory in a much more surgical way. So we believe there's still opportunity for us to become leaner, and that's something we'll continue to strive towards.
Meghan Roach: I think the other one, Brian -- sorry, Brian, one thing to add on inventory is that, I think we need to talk about the full price product. I mean we've got some great products, which has been really nice to see as you mentioned in Q3. And we have seen some good products also within Q4. And so I think for us, it's also making sure that we're buying enough data to inventory of the prices products that we know our consumers want and then trying to make sure that the rest of the stuff we have, the more seasonal stuff is clean.
Brian Morrison: Okay. And then I guess that leads to my last question really just on cash flow. It looks like you're setting yourself up to have leverage back in that 1 times -- mid 1 times range by the end of the year. Where do you plan on the year marking is free cash flow? I know you've taken a break from the buyback. It sounds like your omnichannel is in good shape. Do you plan to just be cautious and preserve cash for the time being?
Leon Wu: Yeah. For the time being, that's our general plan. I mean, again, this year, we're really happy with our free cash flow position and we anticipate for the end of the year to end in a strong position there. So as we look into next year, we'll continue to balance the way that we will manage our cash the best way for the shareholders.
Brian Morrison: All right. Good luck. Enjoy the holiday season.
Meghan Roach: Thanks, Brian.
Leon Wu: Thanks, Brian.
Operator: There are no further questions at this time. I'd now like to turn the call back over to Ms. Roach for final closing comments.
Meghan Roach: Thank you all for joining our Q3 2023 earnings call. We hope you all have a wonderful holiday season, and we look forward to speaking to you in April regarding our Q4 2023 financial results.
Operator: Thank you, ma'am. Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines. Have a lovely day.